Operator: Greetings, and welcome to Primoris announces its 2017 Third Quarter Financial Results. At this time all participants are in a listen only mode, a question and answer session will follow the formal presentation [Operator Instructions]. I would now like to turn the conference over to your host, Kate Tholking. Thank you, you may begin.
Kate Tholking: Thank you, Sherry. Good morning, hello everyone and thank you for joining us today. Our speakers for today will be David King, President and Chief Executive Officer; and Pete Moerbeek, our Executive Vice President and Chief Financial Officer. Before we begin, I'd like to remind everyone that statements made during today's call may contain certain forward-looking statements, including with regards to the company's future performance. Words, such as estimates, believe, expects, projects, may and future or similar expressions are intended to identify forward-looking statements. Forward-looking statements inherently involve risk and uncertainties including, without limitation, those discussed in yesterday's press release, those detailed in the Risk Factors section and other portions in our annual report on Form 10-K for the period ending December 31, 2016, our quarterly report on Form 10-Q which was filed yesterday and other filings with the Securities and Exchange Commission. Primoris does not undertake any obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as may be required under applicable securities laws. I'd now like to turn the call over to our CEO, David King.
David King: Thanks Kate, thank you for joining us today. Primoris delivered a strong third quarter and our trailing 12 month revenue is now at 2.4 billion the highest in the company's history. The comparison to 2016's third quarter gets a bit muddy had some large one-time items last year including the impact of settling a receivable collection action and the impact of a significant write down on the Belton I-35 highway jobs, but comparing apples to apples and excluding the one-time items we saw a positive revenue growth in all of our segments. Weather challenges to be as everyone is aware of the hurricanes that pounded Texas, Florida and the entire Gulf Coast. We had some employees homes that were completely destroyed but were fortunate that everyone came through safely. Many Primoris employees as well as the company overall contributed to multiple clean ups and I'm very proud of the way in which so many pitched in when others needed help. I'm also proud of the response made by all the construction companies along the Gulf Coast, we all made efforts to demonstrate the best of the American values. At Primoris some of our jobs were shut down for about two weeks during the worst of the storms and we experienced some loss productivity when we returned to the job sites. We're having conversations with our customers about getting additional days added to the schedule for those jobs that were most impacted and our customers have been very understanding of our position. The strong revenue burn in the third quarter caused a slight decline in our backlog but not as much as anticipated. I credit our business development team for keeping our backlog strong this quarter helping Primoris find a steady stream of smaller awards in each segment. It's always exciting to get a really big contract which certainly get investors' attention, it’s these smaller awards that provide a stable base of work for Primoris. I'm pleased we entered the quarter with a healthy backlog of $2.62 billion. We continue to implement our strategic initiatives to grow our recurring revenue base businesses and the migrating to new geographic markets. This is our sixth consecutive quarter of positive operating cash flow and the Primoris balance sheet is stronger than ever. We increased our credits facilities from a $125 million to $200 million and took advantage of the current low interest rate environment to enter into 30 million of new equipments secured notes during the quarter. With the increased borrowing capacity and over a $143 million in cash on the balance sheet at quarter end and a debt to equity ratio of just 47.5% Primoris can continue to invest internally while pursuing strategic outside opportunities. Both of the acquisitions we made in the second quarter were positive contributors to this quarter's results and we continue to have the balance sheet and appetite for larger acquisitions. We were pleased to see our SG&A as a percentage of revenue come down the quarter as all of our business units have been looking at overhead costs and seeing where we can continue to streamline our operations. Over the past few quarters we've made it clear that reducing SG&A was one of our goals and we will continue to look for ways to cut cost while still growing both the top and bottom lines. But reducing SG&A expense does not mean neglecting our risk policies, our procedures, and the opportunity tracking programs we've implemented over the past several quarters, these are beginning to make positive impacts on our ability to continue organic growth. As we expected on last quarter's call all of our segments are operating in the black. While the Civil margins aren’t quite we were liked them the segment was profitable this quarter. With that in mind I’ll discuss that segment’s results and start with the Civil segment. Overall revenue for the segment was up both year-over-year and sequentially despite both Primoris Heavy Civil and Primoris I&M being hit by the Hurricane Harvey. The large nd Louisiana petrochemical project is also has almost complete for Jonas Beatty’s business unit as is the methanol project keep started earlier this year. The team booking smaller work to keep them busy, but some larger projects are experiencing delays such as an anticipated dam project in Florida that has been pushed into 2018. On the Heavy Civil side we have three remaining Texas Highway I-35 highway jobs two of which should finish in the second quarter of 2018 and the final one should be completed in the first quarter of 2019. Mark Buchanan and his team were executing well on more recently awarded work including the port and airport projects in Texas and the DoT work in Louisiana. As the Texas Highway I-35 jobs roll off in these newer awards ramp up, we expect to see continued margin improvement for that segment. We are continuing to see ample bidding opportunities for work in the Civil marketplace. Our power, industrial and engineering segment was also impacted by the hurricanes, but they were able to grow revenue, thanks to work upside the across the Gulf Coast. The ARB Industrial business unit in California led by Tim Healy completed work on joint venture and their large sample cycle power plant joint venture is progressing on schedule. That project was selected by the customer for corporate recognition as the project of the year and I want to congratulate the project manager Jack Richie and the construction manager Mike and the entire crew at the Carlsbad site for their dedication in creating a safe workplace. As a trend in California power continues to skew towards only renewable energy projects ARB Industrial is pursuing battery storage awards similar to the large project we completed last year. They are also working closely with Randy Kessler’s OnQuest engineering business unit to go after midsized turnkey capital projects in the oil and gas sector as the opportunities in that market are picking up. OnQuest continues to work on their East Coast micro-LNG project and that customer has responded positively to our execution teams and our approached area. Our third quarter plan for Primoris design and construction, our new engineering business unit based in Tyler, Texas had been for Kevin Maloney and his team to concentrate on business startup activities, but they were going to get the work and eager to get to work and work has started on two feet projects for a major refiner. At this time, both of those projects are looking favorable to becoming full EPC awards in 2048. These projects would also utilize the services of our more fabrication and for worse industrial business units for material supply and construction. As refiners work to comply with the EPA mandates and adjust facilities to meet the demands of the changing crude beat start, we believe Primoris design and construction will continue to lend work. Primoris power business unit our open shop power group continues to execute well on their East Coast power relocation project. We hope to leverage a successful completion of this project into additional power awards. The recent announcement of our $22 million investment in solar project highlights the opportunities for Rob Marchetti and the Primoris renewable energy business that we acquired. In addition to the construction work that we will be doing on these solar projects, ownership of the project for provides for investment tax credits when they start producing power a steady recurring revenue base both considerably centers for our venture into this market. Primoris industrial constructors led by Conrad over winding down on the large Louisiana petrochemical award and finding work to replace that project is challenged as the Gulf Coast industrial market remains somewhat sluggish. The challenge continues to be the uncertainty regarding which projects will move forward and the timing of the potential awards. We're seeing signs that the Gulf Coast market might pick up in 2018 so we're focusing on strengthening our capabilities therein. In general we are seeing the probability of these projects materialing as higher than they were last quarter but the timing of awards remains somewhat uncertain. Moving on to the utilities and distribution segment, Scott Summer's ARB underground saw a significant growth revenue in the quarter, but the majority of this came from their cross cutting MSA with a major Northern California utility customer. They are still mainly in the engineering base which generates minimal gross profit for us, but we expect the construction phase of the MSA to start in 2018. The business unit is also looking at potential clean-up work from the Northern California fires which were definitely unfortunate. In the Midwest Jay Osborne and Q3C continue to grow their MSA revenue with current customers while also pursuing opportunities to expand in the adjacent Midwest states as well as an opportunity to gain a small foothold on the east coast. Our overall MSA revenue in the third quarter was $198 million and a $179 million of that was for utility and distribution segments. While ARB underground and Q3C account for most of the MSA revenue our second quarter acquisition of Primoris Distribution Services in Florida is already contributing to the segment's results despite losing roughly 10 days of production in September due to Hurricane Irma. The final operating segment to discuss is the pipeline and underground segment. Excluding the 2016 one-time item the top line underground revenue grew this quarter compared to last year. [indiscernible] trench list is now underway on its large dual force main installation work in California, and work on that project should accelerate in the coming months. While that may seem is also completed its fourth project for ARB underground and they're bidding drops for both Rockford and Primoris pipeline which is line with the goal to expand our footprint outside of California. Our second quarter acquisition total field services is doing well although the business unit was hit hard by Hurricane Harvey as coastal had over a 100 employees without power for numerous days in the Belmont Texas area. As Jeff Bridges from coastal has begun getting familiar with our organization we are looking at combining the coastal and Primoris field service business units early next year. The hurricane is behind us and we see work picking up for this unit. As expected revenue dropped off at Rockford in the third quarter with the two large Florida jobs substantially complete. Our current Rockford projects are smaller in nature as we await the Atlantic coast pipeline work which is expected to kick off in second quarter of 2018. Our recent FERC approvals for ACP and other large projects are encouraging they are not the only factor in our project start date, for ACP the owner still needs to obtain some state before engineering permit and we're still working through the timing of our four spreads. If the current schedule of the three spreads in 2018 and one spread in 2019 becomes a reality Frank Wells, and Job Stanzy will have their hands full in 2018. Rockford will continue to bid new work as we see a large demand for the services but we'll not overpromise Rockford's available capacity. This is a good problem to have. Our open shop pipeline business unit, Primoris pipeline which is led by Patrick McRay had a very strong quarter as they continue to execute ahead of plan on the Midland Sealy project. The customer was so pleased with their work led by VP -- and Chance Phillips on the project that gave us some of the work that a competitor was behind down. An interesting good growth opportunity for us could be the construction of large diameter pipelines for frac water. We have also recently added additional superintendents with large diameter water pipeline experience to expand our capabilities area. As I look at the strong results from all of our segments, I’m struck by how our business units were working together on jobs and going after lease together. It wasn't that long ago that our internal teams started Primoris only as a holding company. But we've taken great strides toward operating as one Primoris and our Chief Operating Officer, Tom McCormick and all of our segment leaders deserve a lot of credit for where we are today. Pete will you a specific assumptions that formed the basis for our guidance, but I want to remind you that there’s many moving parts that determine the timing of our financial performance many of which such as permitting and start days we do not control. We delivered another solid quarter ended with solid cash position, good backlog and then expectation that our end markets are strong as we head year end and into 2018. Let me conclude with two additional positive items. First, the board voted to increase the dividend and you should see the view this as a sign that we are confident in Primoris’ ability to maintain the positive momentum and we delivered in the first –as we delivered in the first three quarters of this year. Second, I am proud of our overall safety performance was special recognition to our Q3C group having worked over $10 million man hours since their last time incident. And now I turn it over to Pete for his report.
Pete Moerbeek: Thank you, David, and good morning everyone. Our third quarter numbers are now public with both the earnings release and Form 10-Q filed last evening. The following are some of the highlight. Revenue for the 2017 third quarter was $608 million a 20% improvement over the 2016 third quarter. Our largest customers during the third quarter were two utility customers who accounted for a combined 205 of our overall revenue. And third largest customer was textile. At just over $1.8 billion for year-to-date revenue, it’s safe to say that we will break out of the $1.9 billion to $2.1 billion revenue level that we’ve been out for the past three years. As David mentioned last year’s third quarter included both the positive effect of the collection of a disputed receivable that's provided $27.5 million of revenues and $26.7 million of gross profit to the pipeline and the negative effect of write down of $37.3 million and an impairment charge of $2.7 million in our Civil segment. On an ongoing basis that is without the inclusion of the receivable collection, the revenue increase for this year's third quarter improved to 27% compared to last year’s third quarter. Similarly, on an ongoing basis, gross profit in the 2017 third quarter improved by almost $10 million to $70 million, a 16% increase over the 2016 third quarter. The largest contributor to the improved profitability in the 2017 third quarter was the Power segment where gross profit was up $7.9 million compared to last year’s third quarter. The main contributors were our joint venture power plants in California, OnQuest LNG project and the industrial business unit’s large South Louisiana project. For the Pipeline segment, both the Rockford and Primoris business units contributed to an increase of $6.4 million gross profit compared to Q3 2016, excluding the impact of the 2016 receivable collection. As expected the third quarter gross profit for this segment decreased sequentially by $27 million from Q2 of 2017 demonstrating the large profitability swings that can be associated with large projects, a natural part of the pipeline business. We are waiting for the start of the ACP project. Utility gross profit increased just over $2 million compared to Q3 2016 but gross profit as a percentage of revenue declined. As David mentioned this is mainly due to the impact of $13 million of revenue in the quarter from the cost cutting MSA with our large Northern California utility. As we have discussed on earlier earnings calls, the third part of the program is consisted of engineering work performed by subcontractor. This work is providing revenue but almost no margin for us for the first three quarters of the year and we expect to start to more normal gross profit construction portion of the MSA in 2018. Finally, excluding the write-down, gross profit in the civil segment decreased by $6.8 million compared to the 2016 third quarter. Even with that reduction gross profit for the segment for the quarter was positive. We have recognized losses on heavy civil business unit projects over the past few quarters. And at September 30, 2017 we had a loss provision of $12 million for the heavy civil business unit. As we close out these jobs over the next five quarters, we expect that revenues of about 106 million will be reported at low gross profit. As we start to receive positive contributions from newer jobs, port and airport work, we expect the heavy civil business unit margins to improve throughout 2018. Selling, general and administrative expenses in the 2017 third quarter were $43 million or 7% of total revenues compared to 7.1% of revenues in the same period of 2016. excluding the $15 million revenues and $3.8 million SG&A expenses from the newly acquired and start-up businesses the SG&A expenses for the quarter were 6.5% of revenues. That set us towards the 6% target that I mentioned last quarter. For the quarter total SG&A expenses decreased from the previous quarter by $3.4 million. Not often I have been able to pay that on an earnings call. We remain in litigation for the collection of the unbilled receivables and we have continued to incur legal fees. At present the trial date has been set for the first quarter of 2018. In the third quarter we have reported a gain of $6 million or approximately $0.07 EPS from the impact of mark-to-market accounting on a short-term investment made during the quarter. While we may make such other -- other such investments from time-to-time, we would not anticipate this as something that would occur on a regular basis. Our tax department has been actively working to reduce our income tax rate at a faster pace than has Congress. This quarter we were able to recognize the benefits of their work as we now expect an effective annual tax rate for 2017 of 36.5%. The rate reduction is partially the result of an anticipated research and development credits that we are developing from our engineering work and various employment tax credits. To adjust to that expected 36.5% rate for all of 2017, we were able to use an effective tax rate on the income attributable to Primoris of 32.6% in the third quarter. Net income attributable to Primoris in the 2017 third quarter was $20.6 million, a 357% increase over last year's third quarter, fully diluted quarterly earnings per share were $0.40 compared to $0.09 in last year's third quarter. We had another strong quarter of cash flow with roughly 45 million in cash flow from operations. We spent an additional 30 million on capital expenditures during the third quarter and we anticipate spending approximately $5 million to $10 million more during the fourth quarter. At September 30, 2017 our balance sheet showed cash and equivalents of a $143 million tangible net worth of $337 million and total debt of $255 million. At the end of the quarter we increased our revolving credit facility from a $125 million to $200 million, combining our cash balance, shelf facility and available cash. Our available liquidity at quarter end was around $400 million. We believe that this allows us to support the working capital needs of our business even with a large project such as ACP and have cash readily available for acquisitions. At September 30 2017 our fixed backlog was $1.98 billion and our MSA backlog was $641 million, for a total backlog of 2.6 billion a $134 million sequential decline from the second quarter. Given the uncertainty regarding timing of new awards as discussed by David, we would not be surprised to see another slight decline during the fourth quarter of this year. That uncertainty regarding timing of new projects is one factor in our decision to maintain our current guidance that is we expect net income attributable to Primoris to be between a $1.05 and a $1.25 for fully diluted share for the four quarters ending September 30th 2018. This guidance assumes that the Atlantic coast pipeline project begins in early Q2 which means there are two quarters of ACP in our estimate. And then we burn off the ACP backlog in a somewhat linear fashion. In reality we know that won't happen, but until we get more clarity from our customers that's the best estimate that we have. We also assume no benefit from litigation and an effective tax rate of 37%. And now that you've had a whole evening to prepare let us answer your questions. Operator?
Operator: Thank you [Operator Instructions]. Our first question is from Lee Jagoda with CJS Securities. Please state your question.
Lee Jagoda: Sstarting with the -- your guidance and some of the gross margin assumptions in your guidance, could you speak to you know especially as you forecast larger projects I know you mentioned the revenue from APC you're kind of assuming it will be a linear ramp. Can you talk to how you typically would accrue for some of the margins and the profits in those projects, and you know why they may or may not be conservative at the beginning of a project.
David King: Lee, the traditional things the traditional way we have looked at this is we will establish contingencies at the start of the job and as we progress the job we will then address those contingencies which hopefully to the degree they don't have and could produce additional profitability, I think, traditionally if you look at a job like ACP, you're going to start it at a lower gross margin percentage then hopefully you will see at the end and you certainly saw that sort of response from on the two Florida jobs. So I think for the larger projects that it’s pretty much the same whether it’s a pipeline project or a large power plant, we will tend to start with somewhat lower margins and hopefully the margin profile will improve as we get closer to the end of the job.
Lee Jagoda: So then just to be clear the revenue ramp might be linear in your assumption for the gross margin ramp did not?
David King: Remember that for the forecast that we’re looking at the guidance we’re looking at, we have only two quarters and we anticipate that ACP will be much longer than that. So yes we’re looking at relatively constant gross margins for those first two quarters and would anticipate that they would get better towards the end of the project.
Lee Jagoda: One more and I’ll halt back in. If I take a step back and look at the overall bidding environment and the project letting environment, I know you spoke to some uncertainty for larger infrastructure project. Can you talk about just the overall bidding environment whether you're seeing more competition, less competition? And how do you guys would view frightening over the next two, three years on the mid larger awards?
David King: Yes. And Lee, I kind of have to break that down by segment. And obviously the Civil segment, there are ample opportunities after, I think I mentioned that in my comments. And we’re still seeing the same competitive nature there that we really all wouldn’t same. There are some, now when we get to the airport top work and the port facility, we don't, we see a much smaller list of competitors, but several lives really not much change in that bidding environment after that we're seeing. When you look at the pipeline and underground side we are seeing some upward mobility in the margins on some of those from a bidding perspective. We're still seeing ample bidders out there, we are seeing some bidders that don’t have enough work. So they're obviously willing to take it maybe at a smaller margin than we would, but still seeing good opportunity is out there in the small diameter side. We're seeing more opportunities now than we did last year at this point in time. And it's not just in the smaller diameter or pipeline type related but some of it's in fractionation water, facility pipelines and things like that. Our Utilities & Distribution, we see the similar compound of the bidders that we've always seen and we still see the same pressures of being whether it’s a very, very mature market, the pressures out in California to stay competitive and reduce rates versus maybe as not of a mature market in the Midwest or Southeast area that we've just opened up. On the industrial and power side, there it’s, I think, I mentioned what we're seeing there the bidding opportunities are there pretty much across the board. We're still seeing petrochemical opportunities, but we're now beginning to see some refinery related opportunities and some more back on the LNG export type opportunities. What we're seeing there are specific projects that the probability of those going forward is going up from where they were last year. It’s just the timing right now is feel a little uncertain on some of those projects as to whether some of those thought they would have possibly been booked in the fourth quarter now, they may be a first quarter or second quarter type of booking. But again, pretty much across the we're seeing refining pet chem work on the power side, refineries optimization projects coming in not only in the Gulf Coast but in the West Coast. Still some methanol related projects. So we see that cover all the segments. I believe I covered all the segments for you there. If I didn’t, I will answer any questions you got Lee.
Operator: Our next question is from Brent Thielman with DA Davidson. Please state your question.
Brent Thielman: The power segment margins really strong this quarter. I was kind of thinking NRG was sort of high single-digit margin type project. Is the difference there acceleration of engineering work or something else?
David King: Well it was really on the power side. We really had three contributors in there. You’re listing only one of the threes. We’re got our project open shaft power project that was also contributing and then Tim’s group finished all from his joint venture cogen unit out in California. And I can tell you because I’ve had meetings with the customer on that project. Not only that the project finished on time and the safety and quality and everything else and start up I think was very smooth. So there we really have some good synergy and opportunities to bring down a little bit more margin than may be what the project originally contemplated.
Brent Thielman: Okay. And then on civil I mean I guess absent the Harvey and Irma impacts, the margins would have been even better. I mean would that bring you closer to that kind of 4% to 7% range if that not happened?
David King: Well I will let Pete comment. I will make a high global comment. I don’t think they would have reached the 4% to 7% because we have to remember we feel that sort of that revenue that’s burning off with zero margin to it, okay? Some of those built in that already five quarter project. But I will tell you without the hurricane effects and roughly couple of weeks that we were down, I think we lost an opportunity of about $10 million of more revenue with profitability associated therein just off of some of those storm effects. But Pete may be you want to add to that.
Pete Moerbeek: I don’t think we are quite in 4% to 7% and I think we’re probably headed toward that into 2018 timeframe. I think over the next few quarters it will get better. But I don’t think even with the -- without the impact of the hurricane, we have been quite that high.
Brent Thielman: And then may be one more David I guess on the gas power side, it seems like some of the commentary and guidance out there from others is a bit mix lately. Just curious in terms of what types of jobs you are seeing out there whether it’s California or somewhere else and kind of what gets you excited about that market?
David King: Well, I’ve said early on even when we started in some of this gas power stuff that I want to make sure that -- I was worried there might be some dead lighting, I think we’re manjack, I think some projects I wish I hadn’t taken. So my comment all of our team we’re going to be very careful and very disciplined on what we went after and what we took and things. And I want to compliment Gary Martin and Tim Healy who runs those two groups, open shaft and the union side for doing exactly that, being very careful on what they went after. I will tell you that we are seeing more of the opportunities in the West Coast, now currently seeing in that Southeast market, if that does answer your question.
Operator: Our next question is from Bobby Burleson with Canaccord. Please state your question.
Robert Burleson: We're starting to have a little technical difficulties there can you hear me? So I just wanted to ask a couple of questions, your open shop, small diameter opportunities now that the Permian's picking up can we get kind of an update on kind of the outlook there?
David King: Yes, we've seen you know we began I think I'll have to back and look at my notes but I want to say we commented going back at least two or three quarters ago that we were beginning to see more opportunities pop up the bid. Unless you see the opportunity you know you can’t win anything and I can tell you we're seeing more opportunities again this last quarter and this current quarter that we're in than we did the previous two quarters. The competition as I mentioned is still pretty stiff out there. There're still a lot of people you know competing for that work but I actually do see that as a I'm less concerned about our open shop pipeline area having opportunities to bid on that was six months ago.
Robert Burleson: What's your usual kind of win rate I know it's very competitive but what percentage of what you've been on do you guys typically see appropriate margins and you accept the work?
David King: Yes, and that is a very -- we track those and I can tell I'll give you the answer here in a moment but I want to put qualifier on a -- before I give you the I give you the answer. You know if you look at 10 opportunities we may not chase all 10 of those opportunities and so we're very selective about which ones we try to go after, because we tend to look at the bidders and decide whether or not somebody is going to try to low ball that project or something. So realize that when I gave you this number if we weren't selective it might be a little bit lower than this okay, but typically when we're in there we're in that somewhere 30 to 35% range on the ones that we bid and win on the open shop.
Pete Moerbeek: And then in terms of labor shortages that's been an issue, clearly the heavy civil market is getting better Texas is getting better do we expect labor shortages to get worse, do you guys have any particular edge there, you know just help to understand what the labor dynamic is on that work going forward.
David King: First of all on the pipeline side let me talk union pipeline then I'll talk open shop then I'll come back and talk to civil segments and industrial segments. You know we've always had a good follower of workers on our unionized side of the pipeline so we really don't see any shortages there you know I think when some of these we keep till it gets running and ACP and some of these others you know we may see some labor shortages in some of those, what I call the really non-sophisticated you know trade section of that, but in general we're not anticipating a shortage therein for us. Same thing holds true on the open shop pipeline side I think there's you know even though with all these hurricanes and things went through and yeah you have a lot of clean-up crews and you have a lot of carpenter needs and things like that that's not the welders and the fitters and the pipe layers and things like that, and same thing with our industrial sector. We've always a lot of the contractors us included have always been concerned that when some of these major projects do kick off in the Gulf Coast, if they were all to kick off at similar times and indeed we would have a shortage, but that here too that this particular time has not occurred, they've been staged, even Exxon Mobil, when they announced their project dealers not too many other major projects going on. So as long as some are being staged we're not seeing a shortage out there, and we watch it very carefully. We've got a good contrary of superintendence with us and we got a good list of people that’s worked with us for many years, so not anticipating anything there. On the pure Civil side, other than maybe some shortages on what I would call the labors when the hurricane hit. That was pretty much yet. And that's a short, Lee, of duration. And utility and distribution always pretty good. We have a good time contrary people there. So no issues from a labor perspective there.
Robert Burleson: And then one last quick one in terms of pricing power pipeline, you guys have pricing power you guys are exerting now or as you get to for capacity, how do you will get pricing on future jobs?
David King: Well, recently we've been asked to look at some of the other projects Rockford has that some of the spreads that were not awarded on some of the other major projects, and we price them accordingly. Some of them really batch spreads, so it's not pretty understandable why the other contractors didn't take them, but so, yes, we're using some of that. I'll use the word cherry picks and spreads that may be seal out there. We're not yet on our open shop really exerting much of the pricing power there. I think I told you there's still ample of bidders out there for that work. So we're staying pretty -- keeping that pretty close to the chest right now. I'm sure you tracked pipeline trackers like we do and things like that but when we look at last year at the end of last year just on the number of projects and the mileage there Ian, and I look at the last report that came out from pipeline tracker, I think it went from like 4,000 miles 4,500 miles. So there's still definitely a lot of pipeline projects going out there.
Operator: Our next question is from Adam Thalhimer with Thompson Davis & Co. Please proceed with your question.
Kevin O'Brien: As far as your Civil segment margins, I know we had improvement, but it's kind of like a long term goal for that. What kind of pace would you expect?
Pete Moerbeek: With the long term goal we've said it’s always been high single digits realistically probably in the 7% to 9% that somewhat depends on how much of the Civil work is doing is being done by the instructor maintenance business unit, which tends to work for private companies and tends to have somewhat better margins and then just the pure Heavy Civil rip and reed work. So our intent has always been to keep the margins above 5% and push them toward the higher numbers. I think that when you look at the pace we've been averaging probably a little over $200 million a year in revenues for Heavy Civil and then I&M just depending on where they are on projects. And I would certainly see that the Heavy Civil will continue, I&M may be challenged as David said in his discussion that we are looking at some jobs for them. But I think if you look at it from a -- over next year so we’re going to see somewhat better margins and we’re not planning on a large increase in revenue.
David King: Let me add, Kevin I will add one more piece, I think also asked timing. I think I said it and I think Pete reiterated it. Of the three jobs, three of 35 quarter jobs that are burning off, two of them which have no profitability and revenue will burn off in the first -- I think first quarter or second quarter of next year Pete. Yes, and so we’ll be down -- so let’s just say by mid-year we’ll be down to where we basically only had one of those 35 quarter jobs left to execute. So timing wise, that made a little bit of color for you.
Kevin O'Brien: Yes, appreciate the color on that. Also as far as may be a sense on what M&A opportunities. I know the performance on the recent deals have been very well fitted?
David King: Yes we definitely are still looking at acquisitions both small and large. No doubt about it. We are still very interested in the U&D sector and most of those are by the shear nature I think Kevin are going to be relatively small because U&D is a very fragmented market across the nation and things like that. We continue to still look at some solar projects. We think there is some opportunities there. In fact, I think we will have some good news not only in investment but actually building some larger solar facilities with our Primoris Renewable. Brian past year -- the Chairman of the Board but past year laughed at me when I made this comment but I will make it anyway. We are doing a lot of strategic looking at what I call that a fifth dimension of the company which brings up the Age of Aquarius or something like that in some song but I want a fifth segment that and there’s some out there that we are looking at that infrastructure based relates and things of that nature so, leave it that way.
Kevin O'Brien: And as far as -- my final one I’ve got, with the rising commodity prices, over the past few months, do you think any area that you’ve been -- that it continues?
David King: That’s a good question. I would tend to say most of the pricing of the commodities and things we estimate build into the projects as we go along, or the reimbursement of nature. So I don’t know that the rising of it would benefit us a great deal. Obviously the more revenue you push the more in that pockets you make off the revenues, so you might get a little uptick from there. But I don’t see that as a big thing for us Kevin.
Operator: [Operator Instructions] Our next question is from Tahira Afzal with KeyBanc Capital Markets. Please state your question.
Tahira Afzal: So I guess as I look at the tricky 12 months rolling guidance you guys provide and I back out the fourth quarter that you’re going to see, could you kind of give us some directional sense of -- I mean can you still grow earnings into next year organically? And to the extent you can, what are the moving parts we should look for?
David King: I'm not sure if I fully understood your question but the answer is we have some projects that will go over into next year, obviously, Carlsbad will. We're starting to get down to the end of the large Louisiana project, but we expect that there will be some revenue and profitability for that. One of the great things about our business model is that we have that solid utility base that under score is underlines the work bid is up, significant amount of our revenues are from that. And then, obviously, the swinger in the one that it’s going to have the big impact next year is when ACP starts. If ACP starts, and as I said in my comments, we’re somewhat linear right now just in getting to the forecast, the guidance that we have is tricky as it may be, but the real intend is that we should do better than that once we find when ACP starts. And as David said if we really do what you suggested which is we do five spreads next year, that totally changes the numbers as you get toward the end of the year. It’s just at this point almost every week we get a call from a rocker guys and then something new has changed through the processes ensure that start time has changed. So when we put together the guidance, we recognize that there were way too many things that could make it better and a few that could make it worse. And we didn’t want to come to today give you a set of numbers and then come back and back off of those, when we have the next call at the end of February, early March, so that and we discussed this with our board and we also just the furnish thing to do or the best thing to do is just kind of leave that where it is, but we fully expect that if ACP goes as well as we believe it will and if it starts around the time it will that you will see us changing our guidance pretty dramatically for 2018 going into 2019.
Pete Moerbeek: Yes, let me add a little more own piece things for costs. I didn’t want -- we don’t want to over promise and under deliver. I think that was one of the things in my comments when we had our board discussion. And putting aside the standard things to get on the U&D and Civil side, let me tell you some of the moving parts that Pete now we're looking at, obviously P&D lease group is out of the ground and going like game busters. So we're going to see a lot of revenue burn out, the power side, over these next twelve months. Some of these EPC related projects, the engineering is basically done. And so they're waiting for the final investment decision. And when those move, they will burn pretty quick. It's not like you're having to wait for the engineering to be done.
Tahira Afzal: Got it.
David King: All of these renewables that we're doing on solar side, these are fast burn projects. I mean putting up these solar panels and things, these are not year-long projects. These are 6-months long, nine months long projects. So some of those here, they’re going to move very quickly. And then when we throw in what Pete was saying on the pipeline side, when you look at the union side of the pipeline, Rockford specifically, it could go from two spreads to five spreads. And the open shop is gaining momentum, but again there it's still a competitive environment. So when I thought all those together, I can paint a picture. I'm painting a picture on the high side and I’m painting a picture on the low side. So I've rather fleet don’t over promise and under deliver.
Tahira Afzal: Probably the right thing David, and that actually pretty helps far. I guess the next question from me, David, is really around prospects, and you’ve talked about the some of the large ones out there. But I know the ones that could help you would be pretty big ones like maybe --. And if I look the customer commentary, it seems to be incrementally profited, while we haven’t seen anything FID. Do you feel little more comfortable from the work that will be hitting your backlog over let's say the next six to nine months?
David King: I do Tahira. And you mentioned the projects that we’re obviously tracking very close and then I'll mention a few others for you here in a moment. But, yes, that's why my commentary earlier about the probability of those is going up. It’s timing. And to be honest with you, I thought at least one of them, we would have probably put into backlog by now if not in the fourth quarter, but I'm nervous it may be a first quarter or second quarter. So but you know just in addition to those as you mentioned, there's a lot of -- there's still some other ethane crackers, and there still some other pipeline work and there's still some other levy packages and some port facility work in there. I'm not talking about ours. I'm really talking about -- and infrastructure related projects. So, yes, I think the way you summarized it earlier is correct.
Tahira Afzal: And last question for me. As you consider other verticals they did, would water infrastructure be any one of them?
David King: Did you say water? You know Tahira, right now, let me -- I need to make sure with them what I’m talking about. If you’re talking about water purification or water cleanup water treatment and things probably, no that market is not shown to be a very profitable business line, I think, to anyone. If you're talking about…
Tahira Afzal: Pipelines and…
David King: Yes. If you’re talking about pipelines for fresh water or if you're talking about water retention ponding and things of that nature, the answer is yes.
Operator: Ladies and gentlemen, we have meet the end of our question and answer session. I’d like to turn the call back over to management for closing remarks.
David King: Well, before we sign off, our thoughts are with the people of Southerland springs, Texas after the tragedy this past weekend. Our prayers are with the families and our nation at that day. When these things happen that's really autumn and say relative to that is just prayers are with the families. I want to thank everyone for participating today’s call. We appreciate the questions and the ongoing interest in Primoris. And we say thanks again for your time and have a good day.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time and thank you for your participation.